Operator: Ladies and gentlemen, thank you standing by, and welcome to the News Corp. Second Quarter 2011 Earnings Release. (Operator Instructions) I’d now like to turn the conference over to Reed Nolte, Senior Vice President, Investor Relations, News Corporation. Please go ahead.
Reed Nolte: Thanks very much, operator. Hello everyone and welcome to our second quarter fiscal 2011 earnings conference call. On the call today are Chase Carey, President and Chief Operating Officer and Dave DeVoe, our Chief Financial Officer. First, we will give some prepared remarks on the most recent quarter. Then we’ll be happy to take your questions first from the financial community and then from the press. This call may include certain forward-looking information with respect to News Corporation’s business and strategy. Actual results could differ materially from what is said. News Corporation’s Form 10-Q for the three months ended December 31, 2010, identifies risks and uncertainties that could cause actual results to differ. And these statements are qualified by the cautionary statements included in such filings. Additionally, this call will include certain non-GAAP financial measurements, the definition of and a reconciliation of such measures can be found in our earnings release and our 10-Q filing. Finally, please note that certain financial measures used in this call such as adjusted segment operating income, adjusted earnings per share and adjusted net income are expressed on a non-GAAP basis. The GAAP to non-GAAP reconciliation of segment operating income and the EPS and net income reconciliation is included in our earnings release. And with that I’ll turn it over to Dave.
David F. DeVoe: Reed, thank you, and good afternoon everyone. As you all have seen in today’s earnings release, we’re pleased with our continued progress in fiscal 2011. We reported second quarter segment operating income of $1.29 billion, a 6% increase over year ago levels when excluding last year's $500 million litigation charge. This improvement was led by the continued strong growth at our Cable Programming and Television segments that more than offset a difficult comparison at Filmed Entertainment and higher losses at the Digital Media Group. During this year’s second quarter, the company recorded a $275 million pre-tax charge related to the impairment of assets in an organizational restructuring at Myspace. Also in the most recent quarter, the company recorded pre-tax losses from the disposition of certain businesses including Jamba and the Fox Audience Network, Internet ad-sales group. Excluding the net income effect in both years of one-time items principally consisting of the items just mentioned as well as the litigation settlement charge last year, second quarter adjusted earnings per share this year are $0.29 compared with last year’s result of $0.25. The press release includes a reconciliation of our GAAP results to these amounts. This 16% adjusted earnings per share growth reflects the higher segment operating income, lower net interest expense from $1.9 billion less debt outstanding and modestly improved equity earnings from higher BSkyB contributions. Now, I would like to provide some additional context on the performance at a few of our businesses. Let’s first start with Cable, the Cable Networks. This segment continues to drive overall company results. This segment generates nearly 60% of News Corporation’s total segment operating income. Our second quarter Cable segment operating income increased 22% over last year to $735 million. This growth continues to be top line driven with segment revenues up 12%. Advertising revues at the Cable Networks increased 17% over year-ago levels and affiliate fees grew 11% reflecting particular strength at the Regional Sports Networks, FOX News and our international channels including Star. Keep in mind that our strong revenue and earnings growth was generated despite the adverse impact from a one-month blackout on the Dish Network of our Regional Sports Networks, FX and National Geographic Channels due to a distribution contract renewal dispute with EchoStar. While a new deal was successfully executed, the blackout reduced Cable segment operating income growth by about $30 million in the current quarter. At our film segment, second quarter operating income was a $189 million as compared to $324 million we reported a year-ago. This anticipated decline reflects the very successful worldwide home entertainment release of Ice Age: Dawn of the Dinosaurs, which is in last year’s results. As we look forward, keep in mind that close to 75% of Avatar’s record-breaking worldwide box office receipts were generated in last year’s March quarter. As a result, we will have a difficult comparison to the prior year and the current March quarter. At our Television segment, operating income in the quarter of $151 million increased by $122 million driven by top line growth at our television stations and our broadcast network. Our station revenues were up 20% in the quarter compared to a year ago reflecting significantly higher political spending and overall improved local advertising levels. Political spending was approximately $45 million higher this quarter than a year ago. After politicals, automotive advertising increases represented the next largest portion of our revenue growth. At FOX Broadcasting, we also showed improved results driven by advertising increases in both general entertainment and sports. Higher NFL ratings and stronger pricing more than offset weaker ratings and one fewer game from this year's less favorable World Series match up. These improvements at both the station and our network where despite lost ad sales and expenses related to the Cablevision blackout that reduced segment operating incomes by nearly $17 million. Turning to SKY Italia, recent financial and operational trends indicate that we're making good progress in restoring our growth trajectory and towards our next milestone of 5 million subscribers. In the quarter, segment operating losses improved 60% to $12 million from last year's loss of $30 million, resulting from higher revenue in local currency terms and lower basic programing and movie cost. Revenues increased about 2% at local currency as compared to the prior year’s quarter primarily due to the higher average subscriber base, which increased total subscription revenue, despite a slight decrease in our monthly ARPU. Our monthly ARPU in the quarter averaged approximately €42 as compared €43 in the year ago. This decrease reflects the migration of some existing subscribers among the new package choices that we announced over the summer. This slightly lower ARPU, which was anticipated and we are very pleased with the overall result to-date of the reorganized programming packages. In fact, this quarter’s gross additions totaled approximately 214,000 or 43% higher than gross additions a year ago. This improvement combined with 33% reduction [insurance] subscribers netted SKY Italia 71,000 additional subscribers. This sub growth represents the highest quarterly net additions in the last two years and SKY ended the quarter with approximately 4.87 million subs. At our Publishing segment, segment operating income of $380 million decreased $30 million from last year's second quarter, when excluding last year’s litigation settlement. Increased advertising revenues in all three of our major newspaper markets were more than offset by lower contributions at HarperCollins, costs associated with the investment in the Daily and the absence of the Dow Jones Index business, which was sold last March. The year ago results included about $17 [million] in the segment operating profit in the quarter from the Index business. And at our other segment, we reported a second quarter segment operating loss of $156 million, $31million higher than a year ago. This increased loss primarily reflects lower search and advertising revenues at MySpace. Partially offsetting this decline were improved operating results at Fox Mobile, which was sold in December, and higher contributions from our international outdoor business. And finally let me address our guidance for fiscal 2011, and as a reminder we measured this guidance excluding for fiscal 2010 the $500 million litigation charge resulting in a base of $4.46 billion in segment operating income for comparative purposes. In early November we reiterated guidance anticipating our segment operating income growth for fiscal 2011 to be in the low double-digit range above the $4.46 billion fiscal 2010 adjusted result. Since that time results at MySpace have been below our expectations and our new film releases were somewhat below our original expectations. On the other hand, our television cable segments continue to outperform our expectations due to the buoyant advertising markets and the recent retrans in cable affiliation agreements. As a result, after taking all these items into account and based on all of the assumptions inherent in our projections we’re maintaining our operating segment income guidance for fiscal 2011 to a growth rate range in the low double-digits above the fiscal 2010 adjusted result. And with that, I’d like to now turn the call over to Chase
Chase Carey: Thanks Dave. I’d like to spend a few minutes adding some operational context to the financial results Dave just discussed. Clearly we feel good about the quarter’s overall financial performance, but we feel even better about the progress we’re making in positioning our business for long-term growth. The largest driver in the most recent quarter namely the Cable and Broadcast channels earnings and the business momentum at Sky Italia, will not only help us deliver our segment operating profit growth target for the year but should also continue to be drivers of our earnings trajectory for several years to come. As Dave pointed out, our channels business consisting of both cable and broadcast is the lead engine powering current earnings. The operating momentum of our cable segment is underpinned by the multi-year distribution contracts already in place as well as a highly developed international expansion plan. Assuming a relatively stable advertising environment, this segment should continue delivering at least solid double-digit earnings growth for the next several years. Currently all of our local national and international TV businesses are benefiting from very strong advertising markets. However a longer term Cable Network growth is not relying on advertising increases, but rather is supported by unique competitive programming strength at virtually all our networks. The power of the local sports continues to drive momentum at our Regional Sports Networks where this year’s MLB baseball ratings finished up 9% compared to the previous seasons. And the Big 12 National Football package scored a 13% increase in ratings. And while the season is still early basketball ratings are up 13% compared to this point a year ago. At FX, this season’s Sons of Anarchy achieved the channel’s highest 18 to 49 ratings for any show in the channel’s 16-year history. And we just renewed for a forth season. FX ratings going forward will also benefit from a considerably stronger movie lineup. Additionally, with the new dish and Cablevision agreements, FX is now a fully distributed network reaching almost a 100 million homes. FOX News in the most recent quarter the CNN, MSNBC, CNBC and Headline News combined in Prime Time total viewers making it the number four channel across all of basic cable. And given the strength of the channel and its passionate viewership, we expect to get appropriate increases on the renewals we're coming up with all the major MSOs over the next few years. At Fox International channels with a majority of our 200 plus channels are in high-growth under penetrated markets, we have the scale and the expertise to more than double profits over the next few years generating $1 billion in operating profit income by fiscal 2015. And that $1 billion target does not include the rapidly escalating profits being generated at STAR India. Following a reorganization and rebranding a year ago, STAR is now on pace to deliver its highest annual profit ever. The growth of our business is not solely being driven by cable properties. It is also the result of a rapidly improving broadcast business here in the U.S. While we were pleased with the high-single digit ad pricing increases we achieved in the current seasons upfront, we’re delighted with the current strength of national scatter market. This advertising strength clearly reflects the potency of a broad audience delivered by high profile entertainment and no programming is more high profile than American Idol. We’re absolutely thrilled with its return, which has been received well, is performing well and continues to be the most dominant show on television. American Idol along with Glee and the X-Factor which premiers this fall provide a really powerful foundation for FBC’s future success. Equally significant for our broadcast business is the strength of Fox Sports. In fact, Fox Sports finished 2010 as the number one in sports networks for the 14th straight year. And the 2010 NFL on Fox regular-season was the most watched in Fox history. We have a great match for this weekend Super Bowl XLV. That set our expectations for this year's NASCAR performance and we’re tempered given last year’s ratings decline. We’ll have a better feel for that following the Daytona 500 race in two and half weeks. At a local level, our TV stations continue do a great job increasing their market share and driving cost efficiencies. Local advertising trends point to a growing and stable market ahead supported by sturdy auto, telecom and financial advertising demands. And as I mentioned in the last quarter’s earnings call, potential for the broadcast business or the fees we’re starting to collect from cable and satellite distributors that reflect the importance of our network to consumers. We have the retrans agreements in place with four of the larger distributors and that now have set the market for our broadcast business. As we continue to secure new agreements over the next couple of years, we will be taking this business to a whole new level of profitability. In fact with these distribution fees, we expect our U.S. broadcasting business including the stations and FBC to generate at least $1 billion in annual operating income within the next couple of years assuming relatively stable ad markets. While the Channel Business is our biggest growth driver today, we’re equally bullish about our international pay-TV platforms. In Italy through technology leadership, effective marketing and new pricing and programming offers implemented last summer we’ve rejuvenated this business. As Dave mentioned, SKY Italia just achieved its highest level of quarterly subscriber net additions in the last eight quarters through a combination of higher gross ads and lower churn. In Germany, the most recent operational trends suggest the management team they are taking the right actions by leveraging a powerful combination of content and technology leadership to capitalize on this significant market opportunity. In mid-January, Sky Deutschland pre-announced a number of December quarter operating metrics showing considerable improvement. They added 131,000 net additional subscribers in the quarter with gross additions of 24% from the same quarter ago and their lowest annualized churn rate in 21 quarters.
, : Before I move off beyond our platform business, I should also mention that we’re currently working through the regulatory process towards a full acquisition of BSkyB, but at this time there's nothing more. I can’t add to what's already been reported in the press. On our content side, our TV studio is doing great. As I said last quarter Modern Family is on course to generate the largest per cycle sales in history. Glee ranks as the number one scripted series on TV and continues to grow and we have a great set of pilots, we’re looking forward to across the four networks for the coming season. Before I move off beyond our platform business, I should also mention that we’re currently working through the regulatory process towards a full acquisition of BSkyB, but at this time there's nothing more. I can’t add to what's already been reported in the press. On our content side, our TV studio is doing great. As I said last quarter Modern Family is on course to generate the largest per cycle sales in history. Glee ranks as the number one scripted series on TV and continues to grow and we have a great set of pilots, we’re looking forward to across the four networks for the coming season. Also in the Content side, I would like to take a minute to touch on our new digital news product for Daily, which we formally announced earlier today after which Rupert is still providing some briefings as we speak. I think this is exactly the type of initiative we should be pursuing to take advantage of the digital revolution. We should be leaders in using our content strengths and brands to build extensions of these for the new wave of digital platforms and technologies. The digital revolution craves our content brands and we need to focus our efforts on being leaders in developing digital businesses for our News, Sports and Entertainment franchises around the world. That leads me to my final topic, MySpace. We recently completed a rebuild of the business with a focus on entertainment and restructure the organization to right size of the company. With a new content focus and structure in place, we believe now is the right time for News Corp. to consider strategic options for this business. The new MySpace experience has been very well received by the market and we have some encouraging traffic metrics in the last several weeks. However, we recognize that the plan to allow MySpace to reach its full potential maybe best developed under a new ownership structure and we are evaluating those strategic alternatives. In summary, I feel we are on the right track with virtually all of our businesses and have the critical building blocks in place to generate long-term earnings growth and value in this fast moving digital world. Thanks. Now we’re happy to take your questions. Also in the Content side, I would like to take a minute to touch on our new digital news product for Daily, which we formally announced earlier today after which Rupert is still providing some briefings as we speak. I think this is exactly the type of initiative we should be pursuing to take advantage of the digital revolution. We should be leaders in using our content strengths and brands to build extensions of these for the new wave of digital platforms and technologies. The digital revolution craves our content brands and we need to focus our efforts on being leaders in developing digital businesses for our News, Sports and Entertainment franchises around the world. That leads me to my final topic, MySpace. We recently completed a rebuild of the business with a focus on entertainment and restructure the organization to right size of the company. With a new content focus and structure in place, we believe now is the right time for News Corp. to consider strategic options for this business. The new MySpace experience has been very well received by the market and we have some encouraging traffic metrics in the last several weeks. However, we recognize that the plan to allow MySpace to reach its full potential maybe best developed under a new ownership structure and we are evaluating those strategic alternatives. In summary, I feel we are on the right track with virtually all of our businesses and have the critical building blocks in place to generate long-term earnings growth and value in this fast moving digital world. Thanks. Now we’re happy to take your questions.
Operator: (Operator Instructions) Our first question comes from the line of Michael Nathanson with Nomura. Please go ahead.
Michael Nathanson - Nomura:
Chase Carey: When you say reverse retrans, you mean with the affiliates?
Michael Nathanson - Nomura: Yeah, exactly. So how much of that billion or so is coming from those two new revenue lines?
Chase Carey: Yeah, I mean its revenue and I guess it’s a little bit, I mean the billions of profit numbers. Obviously retrans is a revenue so, but probably not going to specific dollar on it, there has been a fair amount out there about how what we are looking to get for it. So that’s sort of the speculation speak for itself. Yeah, I think we’ve got, I think we’re pretty well sort of defined the market for us in terms of the O&O. The affiliate side is probably, we are more actively engaged in right now. Well, I guess its big numbers. This is certainly, it’s hundreds of millions of dollars. It change with the nature of this business. And in many ways, I think that broadcast network should look like a cable network and it should have two real meaningful streams of revenue, subscription and advertising as we look for this to be a significant part of the revenue for that broadcast business.
Michael Nathanson - Nomura: And what type of follow-up in there, what type of ad growth is assumed to get to a billion OI and when you said modest ad growth, is it between low-single digit growth element?
Chase Carey: Yes, we’re assuming a pretty mean growth. I think our view of the economy right now would probably be, you’ve got sort of a pretty low growth economy and obviously look at the short-term the ad market, right. We’re sitting here with scatter pricing that is more than a third of the up front and we’re not assuming that we’re assuming, you’re going to have an ad market that is pretty modest growth that sort of reflects an economy that I think we do assume right now is pretty modest growth.
Michael Nathanson - Nomura: Okay. Thanks.
Operator: Our next question comes from the line of Jessica Reif Cohen, Bank of America. Please go ahead
Jessica Reif Cohen - Bank of America/Merrill Lynch: Hi, I have two questions. One was just sort of a follow on to Michael question. Could you give me some color Chase on advertising really across the platforms? It sounds like there is strength pretty much on every platform in every market and I was just wondering if you can give us some color going into the March quarter? And then secondly can you talk to us about, just give us your views on TV Everywhere? Do you think it’s important for your channels to participate and where are you in deals?
Chase Carey: On the advertising markets, it is really strong. I mean seriously TV is leading and I guess I would say National TV in particular. So when you look at the broadcast network and when I touched the scatter the Cable Networks and right now Cable, second half growth looks stronger than the first half growth. And so it is certainly very good. It is good in the station side. The comps get tougher in the station side. So year-on-year we’re not going to have the type of year-on-year growth in the second and the third quarter that we did in the first two. But it's really good solid growth and really across the broadcast platforms ad revenues, I mean across the newspaper be it both Dow Jones, UK, Australia are all up. They are not up like the TV business but it’s double-digit. But they’re, I think that they’re up and it’s getting to look pretty good. And obviously we have the Super Bowl on top of it falling in on Sunday.
Jessica Reif Cohen - Bank of America/Merrill Lynch.: And the international cable network?
Chase Carey: And the what?
Jessica Reif Cohen - Bank of America/Merrill Lynch.: International cable network?
Chase Carey: I mean international, yeah international it’s somewhat higher than the domestic. So, the International Networks on pretty almost any front you want to look at are doing great. And I think that the fact we have this quarter and observe the fight with EchoStar and the fights with Cablevision which were both lax in the quarter and come out with those results, that affected both profits, ad dollars and the like as it speaks to the strength of the businesses. But the International Cable Networks would be leading it and certainly there is nothing seems to be anything slowing it down as we look at the second half of the year. What did you say the second…
Jessica Reif Cohen - Bank of America/Merrill Lynch: It was on TV Everywhere, just on your views on where you are?
Chase Carey: I think it's again, I prefer to call it authentication because I think it's a better price I think it sort of as you move forward into an array of digital platforms, how you package it and create value out of it. So I think it's a good thing, I think it's a bit of a, it has struggled to get going. I think to some degree it’s been encumbered by a cable industry that tries to create too many walls around it. I think if, it is going to be enhanced a bit. It was approached in a more open like where it had a more of an opportunity for an array of digital platforms to consist in an authenticated world. And I think it will be a good thing if we get some traction. But do I think its, but it’s got a, like at the end of the day its success is going to be built on making it a good experience for the consumers and if you turn to find other options which is like I think cable industry ought to sort of, the cable satellite industry just about, the distribution industry ought to find a way to make it more open and enticing and appealing and an opportunity for consumers and what does it do a good job and succeed, because then if they, consumers are going to migrate to where to the experiences they value and like. But I think authentication is an important initiative and something we'd like to see succeed even it’s a little frustrating, it’s been talked about for two years and still hasn’t yet gotten very far.
Jessica Reif Cohen - Bank of America/Merrill Lynch: Okay, thanks.
Chase Carey: Next question please.
Operator: The next comes from Doug Mitchelson, Deutsche Bank. Please go ahead.
Douglas Mitchelson - Deutsche Bank Securities Inc.: Thanks so much. You know I think I’m just going to follow up on Jessica’s question, if that’s okay. You just said, Chase an array of digital platforms, are you referencing the potential to license your cable networks down line aggregators, or are you just really talking about shows and movies and the opportunity to monetize them in different windows?
Chase Carey: No, I mean authentication I'm really talking about sort of the ability to going to have that sort of add on to the core programming package of wherever it come from, what you want to see, when you want to see it, you know, where you want to see it. And provide that experience and provide it in a rewarding way and I think that rewarding way isn’t simply saying you can see it on cablecompany.com or fox.com and that’s your only two choices as opposed to saying, you can get that type of experience in an array of places. But I am really talking about this sort of the enhanced experience what you think is authenticate. And authentication is about, it’s adding the enhanced experience of getting what you want, where you want, when you want it on top of the core-programming package.
Douglas Mitchelson - Deutsche Bank Securities Inc.: Is your vision for the next few years at the current cable satellite distribution in ecosystems stays in place when it comes to your live channels?
Chase Carey: Yeah, I don’t assume it like, I truly believe the value of that, I understand that we have to take less, the value what they get in that package is fabulous. I think the breadth of what you got there is unique when it covers sort of from sports to news, to entertainment and the like. And I think in American households today live on it, maybe not every 23 year old understand, but I think it is kind of everything to see about it. Any of the noise about the pressures today I think are really economically driven at a tough time when you have people struggling with unemployment rate where it is that have to make in a very difficult and the trade-offs in the day-to-day life, but I think the value for this package and the importance of it, has real legs to it.
Douglas Mitchelson - Deutsche Bank Securities Inc.: And then I’m just intrigued by you comment at second half Cable Network growth looks stronger than the first half, is it fair to say then that March quarter domestic ad pacing for cable networks could be accelerated for what we just saw in the December quarter?
Chase Carey: Yeah, and first it's not doubling, I mean it’s strong, I mean it's not, right now it feels its not stronger so I wouldn’t, it's not like it exploded in the second half, but it's not stronger than it was in the first half.
Douglas Mitchelson - Deutsche Bank Securities Inc.: Not stronger, is good news. All right, thank you.
Operator: The next question comes from the line of Ben Swinburne with Morgan Stanley. Please go ahead.
Benjamin Swinburne: Thank you, good afternoon. Chase I just want to take up a little bit more on how you are thinking about monetizing the content at Fox in particular? Disney did a deal with Netflix and I think the press reports were sort of $150 million to $200 million for a year’s worth of programming and I’d argue most of that value if that number is close to right and it accrues to ABC, so how do you feel about that kind of a deal with Fox just in terms of making prior season shows available online and whether it's Netflix or Fox.com or Hulu? There’s been that argument from the Turner folks that Modern Family being available on Hulu made it less attractive for them. Just wanted to get your thought process and strategy on using these platforms to built value at Fox’s TV studio and at the network?
- Morgan Stanley: Thank you, good afternoon. Chase I just want to take up a little bit more on how you are thinking about monetizing the content at Fox in particular? Disney did a deal with Netflix and I think the press reports were sort of $150 million to $200 million for a year’s worth of programming and I’d argue most of that value if that number is close to right and it accrues to ABC, so how do you feel about that kind of a deal with Fox just in terms of making prior season shows available online and whether it's Netflix or Fox.com or Hulu? There’s been that argument from the Turner folks that Modern Family being available on Hulu made it less attractive for them. Just wanted to get your thought process and strategy on using these platforms to built value at Fox’s TV studio and at the network?
Chase Carey: I think for content owners having players like Netflix emerge and certainly has real pop to it to the sense they are another buyer of our product. And I think that’s largely with somebody like, I just think with Fox.com which is like the I think it’s the line is soft of currencies and products which is really more where the fox.com reside and sort of a delayed access to current product which is different than sort of the, where the Netflix (Inaudible) which is more what I consider library product. I mean product and with the effort and they may all, obviously those things can change but I do think they are different and to the degree Netflix is like a deal item. And I think probably channels like to say if I’m going to pay a lot of money for Modern Family I want to buy it upright but it’s not showing up on a competing platform. At least I know what it is for adjusting my value and I think for us as a buyer because we’re a buyer as well in FX, I would not be buying reruns, indication rights to a an expensive piece of programming and letting it go reside on Netflix for 20 million copies up. Yeah I think that’s, the place they reside it is, I think how I look at it. We have to make sure that we’re getting fair value for our product. We shouldn’t be selling it cheap and I think at times people have sold their products cheap. I think the Star’s deal with Netflix is probably the ultimate example of product being sold beyond cheap. And I think we can get fair value for our products. There are other buyer for our product and other medium for our product.
,:
Benjamin Swinburne - Morgan Stanley: Thank you.
Operator: Our next question comes from line of Richard Greenfield, BTIG. Please go ahead.
Richard Greenfield - BTIG, LLC:
Chase Carey: Yeah, on the movie side, I guess early windows specifically electronic distribution I guess more broadly and I think it’s very important for us. I think the early window, its not 30 days, its 60 days I think is an important opportunity for us to create something that isn’t, it is a different experience. I think it’s different than the theatre. Theatrical side is important to us. We need to make sure we protect the strengths of that. But I think that window to get it properly priced and it’s something, I think it’s something you’ll see in short-term and certainly I think the first half of this year you’ll see people moving forward there. I think the broader electronic distribution is equally important. I think we need to make sure, if you ask me the most attractive part of it is we can price our product and looking at, price experience in a way that gets us fair value and I don't think sort of whatever short-term windows that get us a dollar a rental is fair value for our product and these electronic distribution platforms enable us to get there and to put appropriate pricing, fair pricing on our product in various windows. So I think we should be aggressively developing these distribution platforms. RSNs, a strike is always tough to sort of, you don’t know it’s going to last, A, is it going to happen, is it going to last a day, is it going to last a month, is it going to last what have you. So I don’t think it’ll last forever, so you're not making, there are limits down much you could really make plans for something that probably as a realistic outside to it that isn't that long. Basketball's important to us, I think we try to do we could, whether it means next college games or things we could go after and we try to mitigate it, but we’re not in these, so we hope these strikes don't happen. We hope already they reach settlements. But I think as we get some little visibility and predictability at the time, you sort of probably do what you can in the very short term to mitigate, but stuffed up that’s really makes significant plans and given just the nature of the uncertainty around it.
Benjamin Swinburne - Morgan Stanley: And Chase, when you talk about digital rights or the value of digital rights, how do you think about your current relationship with the content you saw both TV and movies to networks for a streaming platform, we’ve heard a lot from other executives talking about has affected all deals maybe one done with the proper values, is that kind of you are thinking of, how do you think about how you’re going to deal with networks and how soon can you renegotiate with them?
Chase Carey: Well, we've been pretty judicious on what we've done with them, first our movie program really, we're not one of the seriousness more aggressive and I think even our TV products are pretty limited. So I think they’ve grown enough probably anybody who did a deal with them, to their credit, they did a deal and probably have exceeded everybody's expectations on growth. So probably very few deals you get them saying, predict the same growth they’ve had. So probably made them, good for them, but in all honesty our deals we've been pretty judicious and I think we value our products highly.
Benjamin Swinburne - Morgan Stanley: Thanks.
Chase Carey: Next question please.
Operator: The next question comes from the line of James Mitchell with Goldman Sachs. Please go ahead.
James Mitchell - Goldman Sachs: Great, thank you for taking my question. SKY Italia had a very strong gross net ad trends in the quarter. Were there any unusual factors helping growth in the quarter other than the prior re-tiering, and how do you feel about subscriber growth at SKY Italia in calendar '11 without the World Cup?
Chase Carey: First there was nothing unusual in the quarter. Yeah, I think we’ve sort of talked about little bit about middle of the calendar year that we had digested in the prior time a number of events and I think we got our footing and you can have some packages and made some adjustments to the fact we can’t buy ad time on media that will sell ad time and the like and got our mojo back and sort of I think they have done a good job and look we got a better package. We got the offerings that should be the dominant one there. And I think they’re doing good things and I expect that momentum to continue. And I think our focus right now is really on growing the business. This is a country still that is not, is still sort of third penetrated in terms of pay. It’s got a lot of growth left in the market and we think it's important at this point in time, that sort of where is the focus is to take share. And we’ve got to manage all lines, but I think it’s a real opportunity for us to what, to do that. And hopefully, Dave mentioned 5 million sub milestones, but it’s a big country that loves TV. So we feel great about the long-term future of this business.
James Mitchell - Goldman Sachs: Thanks a lot.
Chase Carey: Next question please.
Operator: Next question comes from the line of David Bank with RBC Capital Markets. Please go ahead.
David Bank - RBC Capital Markets: Thanks, very much. Two questions, first could you talk a little bit about how the local stations grew revenue in December post political and how they’re pacing in the first quarter versus the impact of political? And second, could you talk a little about that you are now half way though the year that Myspace restructuring is in process. What do you think is embedded in your guidance kind of a base case expectation for Myspace losses for the year or earnings? Thanks.
Chase Carey: I think in terms of the TV stations, there are some ups and down, you look at this quarter on pages, we didn’t have the BCFs, we do have the Super Ball in the third quarter, I think third quarter, we’re looking at pacings that are probably low-double digits as pacing what was on Myspace. Again, I think like our focus is going to be really said on the strategic options, I think if you look at it financially.
David Bank - RBC Capital Markets: You’re not going to show a very large improvement.
Chase Carey: Yeah. Now I think anything financially be a bit better than the first half, but not, while it’ll be better than the first half but I think our focus is really set on pursuing the strategic options for it.
David Bank - RBC Capital Markets: Thanks.
Operator: Our next question comes from the line of Anthony Diclemente, Barclays Capital. Please go ahead.
Anthony Diclemente - Barclays Capital: Thank you. Just been listening to the conversation about monetizing content, I'm wondering, Chase, how does Hulu fit into your vision of monetizing Fox content? You had mentioned I'm just wondering if you still view Hulu as a mechanism to get fair value. And then as a second question, we keep hearing from other studios like Warner Bros and CBS that the TV syndication market continues to be a robust market in terms of value. Just wondering if you're seeing that, and then in your mind, what are really the true drivers of that improvement in the TV syndication market? Thank you.
Chase Carey: No, for sure. Hulu, they’ve done a great job and they continue to grow. I think they have launched a subscription dimension to it. We think that's an important dimension. I think we are believers in dual revenue stream. So it adds up, I think it adds a dynamic, provides opportunities. And I think the digital marketplace is going to continue to evolve and I think Hulu has created a fabulous brand. I think they’ve done a great job creating a great experience. Obviously, they can speak for themselves, so I’m not going to speak too much about their strategy, but I think they’ve developed an enormous following and set of fans and I think we’re well-positioned to continue to take advantage of these emerging digital marketplaces, but it looks like the dual revenue I think are important for them and built on content, so it's important for us. I think what we're going to try to continue to make sure is we feel our content's being, again, I'll use the same phrase properly monetized in all those digital models including Google.
Anthony Diclemente - Barclays Capital: Okay, fair enough.
Chase Carey: TV generates, you mean that the content owner selling in the syndication market? Were you just taking about the strength in that regard?
Anthony Diclemente - Barclays Capital: Yeah, just talking about…
Chase Carey: I guess I talked about Modern Family. I guess we would [second] (inaudible) Modern Family I think will be the highest first cycle show ever sold into the marketplace and I think what's driving it is that we have good shows. I mean, I think as people get more and more choices, I think where you get hurt is if you're sort of chopped liver in the middle and if you got hits, I think the value it hits is bigger than ever. You’ve got the NFL or American Idol, Glee, the ability and owner of Modern Family is not always the owner network but when you have those types of shows they have extraordinary value, importance, and power. And I think TV continues to prove itself as a sort of something of importance to consumers and value advertisers second to none. I mean you look at the ad market, as I said, on these national broadcaster cable networks, demand from an advertising perspective is incredible. And I think it shows the power of television, power to importance to consumers or the power to advertisers. And if you guy hit shows that stand out in a world of 200 channels, it's value.
Anthony Diclemente - Barclays Capital: Well let me ask it this way. Is that value increasing because of the emergence of new digital networks and services, like over the top networks, or in spite of them?
Chase Carey: And I guess, yeah, I'm not sure, you could argue both, I think it’s like the TV and sort of go back of a value of a bundle. I mean, I could argue and I would argue today, the TV experience is a much richer one and much more rewarding one for consumers who get choice all the time in an array of things more ways to access the products, more technologies get put out there, so I think it is sort of it is a richer experience but I think equally you could end up saying it's sort of hits. As you get more choice, the hits just become more unique and more important but and I probably argue probably either. I’d argue it from the left or the right, it’s sort of a glass half full, glass half empty I think.
Anthony Diclemente - Barclays Capital: Okay, thank you for the question.
Operator: Our next question comes from the line of Jolanta Masojada, Credit Suisse. Please go ahead.
Jolanta Masojada - Credit Suisse: Thanks very much. Chase, I wondered if you could talk through the economics of The Daily. What's the total investment, when are you looking for it to achieve break-even, and what are the implications for your newspaper strategy more broadly?
Chase Carey: I’m sorry I did miss the last one though. What was your last question?
Jolanta Masojada - Credit Suisse: Well, the last part is what are the implications of The Daily launch for your newspaper strategy in other markets?
Chase Carey: Okay. Guess the last part first. The Daily's not a newspaper product. It's a news product. We're in the news business, just as Fox News is in the news but I think the [incentive] today is the launch of this. It's a news product that’s taking advantage of a new technological platforms, the tablet or the iPad and I don't think you should think about it as sort of big part of our newspaper business or as part of our television business. I'm not going to rule out sort of finding things in the dot com world, but I think for us the digital places we bring unique strengths or when we could take our brands and our expertise and our content and figure out how do you develop digital extensions or digital experiences based on the content brands that we have and we’ve got fabulous ones around the world. And I think one of great things about these digital platforms which will get to the back is, realistically you can create them, in a whole different at a pretty modest level of investment in the whole different scale, because you don't have all the other thing that go with it, I mean you don’t have, compared to newspapers, you don’t have paper distribution returns and the rest in lot of the infrastructure that goes with all these businesses. I think that’s quite adamant on that but really about five hours into its launch I’m probably not going to put a break even day.
David F. DeVoe: I think what Rupert said today was, we're investing around $30 million in the first year. We have a run rate of about $500,000 of a week’s cost and breaking obviously will depend on how we do.
Chase Carey: I’ve seen that the leverage obviously in this is pretty good okay, in this case probably ups or down of today.
David F. DeVoe: By the response of it.
Chase Carey: Responds five hours in or four and a half hours is fabulous and exceeding our expectations.
David F. DeVoe: Okay.
Jolanta Masojada - Credit Suisse: Thank you.
Chase Carey: Next question please.
Operator: Our next question comes from Jason Bazinet with Citi. Please go ahead.
Jason Bazinet - Citigroup: And a questions from Mr. Carey, you know you talked about retooling your businesses for a digital world, and its seems like there is a, maybe it’s not a new business, but it tweak to the existing industry practice that’s makes a lot sense to me, I just love to get your reaction, your affiliate fees are all charged on a per household basis, which makes it expensive for peoples who live alone to watch Television relative to families. It also sort of exposes you to piracy as you go down this authentication model, where people could sort of share passwords with one another, why wouldn’t be industry sort of move to an affiliate fee per connected device and sort of make TV more affordable for singles and extract more money from families with five TVs and three iPads and also sort of limit the piracy risk from this authentication model that’s emerging?
Chase Carey: Well, I guess two different questions. I mean, I think on a per device range, I think actually in some degree, I mean like DirecTV that you do have, we don’t as a channel provider, but you take DirecTV, I think that you have a per device, because you need a set top box, so they can charge, so they can change you 5 or 6 bucks for, and I think actually cable guys, now they are moving to digital unless to an analog you just plug it in. They can call it a box fee or something, but there is an incremental – there is an increment at the consumer level for whether you have one, two, three or four TVs hooked up.
Jason Bazinet - Citigroup: I’m talking more on your cable networks business.
Chase Carey: I’m not sure what’s your keys, I mean I don’t know that it makes it difference to the consumers since they are paying. So it’s really just through an open distributor just sort of gets a charge less in this way, but more this way. And if you get to the same place, I guess you went through a lot to get, I’m not sure where since their business model already contains it. I think piracy is probably a different, but probably trade is important for us. I think you talked about something like authentication and there’s no question. I think your early generations, if they never can get some traction, proper tractions, we will probably be imperfect to best, but I think it’s important to start to move and get to have it. And obviously you got to be user-friendly, easy to sign-in and easy to use and somebody and then figure out overtime you close the holes and you get too better and more. So I think people ultimately, you got to deal with piracy and the like, but it's a very good experience to have fair price and people who will pay their pricing. But I'm not sure the piracy, which has that, I don't see that as part of that per device, because that really is depended on the infrastructure to lever things and the like. I'm not sure, how you’re charging would change would address the piracy issue. As you move to these multiple platforms, like it’s going to…
David F. DeVoe: Yeah it’s going to be something, it's going to be work in progress.
Chase Carey: But I know it’s in service.
David F. DeVoe: Operator, I think we have time for one more analyst question before you go to the press.
Operator: Okay. And next question will come from the line of James Dix with Wedbush. Please go ahead.
James Dix - Wedbush: Good afternoon gentlemen. Two quick ones. Given that your international cable growth was so strong over ad growth of 27% in the quarter, operating growth, profit growth of 37%, is your expectation with that too can accelerate in the second half of the year, is there something which is going to cause that to moderate. And then just secondly, now that you are sit here at the midpoint of the fiscal year, is your expectation for the mix of operating income for the full year now more weighted to cable and TV or is there something in the seasonality for the second half that is what kind of your expectation for that mix growth probably unchanged versus when you’re originally gave your guidance? Thanks.
Chase Carey:
David F. DeVoe: Yeah. And we’re not expecting any substantial changes in the operating income.
James Dix - Wedbush: Okay, thanks very much.
Chase Carey: Operator, I think it's a good time to switch over to the press community, if you could.
Operator: (Operator Instructions) And first question from the press will come from Staci Kramer with ContentNext. Please go ahead.
Staci Kramer - ContentNext: Hi, Dave. I’m sorry I couldn’t make it today, but I wonder if you could just back to the daily financing for a second and clear out something, can you say what the first year expected costs and how the 30 million fits in?
David F. DeVoe: The first years expected cost is $30 million.
Staci Kramer - ContentNext: Okay.
David F. DeVoe: Approximately, okay. So $30 million.
Staci Kramer - ContentNext: All right. And then so within that is the half million a week?
David F. DeVoe: Yes, that’s correct.
Staci Kramer - ContentNext: All right.
David F. DeVoe: So you get more cost in the short period of year, because you got start up cost associated whether you got, marketing…
Chase Carey: We’ve been spending money when we’ve been (Inaudible).
David F. DeVoe: Yeah, we’re growing our product. But after it’s up and running, it’s 500,000 a week as I said, Mr. Murdoch point out today.
Staci Kramer - ContentNext: So that you expected to run $30 million for the first year or $30 million plus that?
David F. DeVoe: $30 million for our first fiscal.
Staci Kramer - ContentNext: Fiscal year.
David F. DeVoe: Fiscal year.
Staci Kramer - ContentNext: Okay.
Chase Carey: And that obviously doesn’t, that’s cost (Inaudible) so obviously we do certainly have revenue.
Staci Kramer - ContentNext: Okay. So when you come back at it and look at it, whether you can make a profit on it that $30 million will factor in, right?
David F. DeVoe: Yes, that’s going to give $500,000 a week a total cost.
Staci Kramer - ContentNext: Okay. I don’t mean if I’m dense about it. There has been a lot of numbers thrown around today and there are a lot of people interpreting them in different ways, so I appreciate you’re clearing.
David F. DeVoe: Does that make sense though?
Staci Kramer - ContentNext: I think, I think it does, you know, also there is some suggestion today from Mr. Murdoch on Fox Business Network that Apple might be willing to renegotiate the 30% split after the first year, is that something you can address further?
Chase Carey:
Staci Kramer - ContentNext: Okay. Thanks.
Chase Carey: Thanks.
Operator: The next question comes from the line of Brian Stelter of New York Times. Please go ahead.
Brian Stelter - New York Times: Well, thank you all. Is Fox considering withdrawing or reducing the amount of content on Hulu and can you reiterate your point of view toward Hulu, is it evolving?
Chase Carey: Yeah, I think I said before I think Hulu – I think that Hulu is continuing to evolve obviously that in some ways the launch of Hulu Plus is an evolution to add a new dimension to Hulu. And right now, we’re pretty much started dealing with Hulu the same way we historically have.
Brian Stelter - The New York Times.: But are you considering reducing the amount of content?
Chase Carey: (Inaudible) digital platform, you have to continue to evolve.
Brian Stelter - The New York Times.: So you may have to reduce the amount of content on it.
Chase Carey: No, I’d say we’re going to continue to deal with Hulu from a content perspective, consist the way we have.
Brian Stelter - The New York Times: Thank you.
Operator: And our next question comes from the line of Robert Andrews, paidContent. Please go ahead
Robert Andrews - paidContent: Hi, thanks. So back to MySpace, you’ve mentioned that the company’s interest maybe best served with another owner. So if the company is (Inaudible) I wondered if you might try to comment on what climate will you have on best served MySpace interest and most of this they want probably MySpace could you provide to percentage of data.
Chase Carey: Not sure I got all that, but we’ll just try to interpolate on it. Yeah, there has been a lot of interest, because there has been some indication, we’re pursuing that path. In other words peruse all options that can range not just a sale, but it could be you know a sale could be an investor coming into it, it could be us staying with a restructured ownership structure with management. We just think in fresh perspective with given flexibility and opportunity to really get a new life is consistent with the re launch of the product end up right sizing up the cost. The interest to-date is ranged from A to Z, from industry players, financial players, to foreign to domestic and that’s without really being out there. It’s sort of incoming. We’re not soliciting anything at this point, but we think we’ll look at all of those. I'm not going to speculate on value. We think it's a business that has got a unique level of reach and while it’s in a restructuring place has proven, put forth a path that we think has a real future to it and that we think, it has an opportunity to really be something special, but we think we ought to put it in the right place to really maximize that opportunity. I think management, the senior management there is excited. I mean obviously there has been a lot of challenges for them, but I think really believe that I’m – that they can do something special. But I think there’s, the interest sort of ranges from A to Z.
Robert Andrews - paidContent: Okay, thanks.
Operator: Our next question comes from the line of Andrew Edgecliffe, Financial Times. Please go ahead.
Andrew Edgecliffe - Financial Times: Thank you. Chase, on SKY, can you tell us, are you still committed to that SKY deal after the political thing in London, and has SKY's recent strong performance changed your view on your initial 700 pence a share valuation at all?
Chase Carey: We believe and we continue to believe we made a full and fair offer and we are going to approach this in a disciplined manner. Our focus on it is on the regulatory process and we're trying to move forward with that. That's probably really all I've got on it at this point.
Andrew Edgecliffe - Financial Times: Thank you.
Operator: And the final question we have in queue comes from the line of Georg Szalai with Hollywood Reporter. Please go ahead.
Georg Szalai - Hollywwod Reporter: Thank you. Chase, I was just wondering if you can give us some color on the expected timing on the Myspace decision and on the premium VOD movie launch. Is it both something that we should expect by mid-year or, can you give us some color there?
Chase Carey: I think on MySpace we're actively engaged in pursuing those strategic options now. And I think as I said, I think, I think the, you know, early went [out], I think guess you something you see in the first half there.
Reed Nolte: Okay, well I think we’re out of time. Thank you everybody for joining today’s call and if you have any further questions, please calls us in New York.
Operator: Ladies and Gentlemen, it thus conclude our conference for today. This is conference is available for replay. That replay will start tonight, starting at 6:30 East Time, and go through February 16 at midnight. You may dial the AT&T replay system by dialing 1800-475-6701 and entering the access code of 188-379. International participants may dial in to the United States, 320-365-3844 those numbers again 1800-475-6701 but the access code 188-379, International is 320-365-3844. And thank you for your participation, you may now disconnect.